Operator: Hello, everybody, and welcome to the Popular, Inc. Second Quarter 2025 Earnings Call. My name is Elliot, and I'll be your coordinator today. [Operator Instructions] I'd now like to hand over to Paul Cardillo. Please go ahead.
Paul J. Cardillo: Good morning, and thank you for joining us. With us on the call today is our President and CEO, Javier Ferrer; our CFO, Jorge Garcia; and our CRO, Lidio Soriano. They will review our results for the second quarter and then answer your questions. Other members of our management team will also be available during the Q&A session. Before we begin, I would like to remind you that during today's call, we may make forward-looking statements regarding Popular, such as projections of revenue, earnings, credit quality, expenses, taxes and capital structure as well as statements regarding Popular's plans and objectives. These statements are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today's earnings release and our SEC filings. You may find today's press release and our SEC filings on our web page at popular.com. I will now turn the call over to our President and CEO, Javier Ferrer.
Javier D. Ferrer-Fernández: Thank you, Paul. Good morning, everybody. I'm happy to be here with you in my first earnings call as CEO. I'd like to take a moment to recognize the impact that my predecessor, Ignacio Alvarez, had on this company during his tenure as well as on me as a colleague and a friend. It is an honor to follow such a great leader. So thank you, Ignacio, for your partnership. I am humbled by the opportunity to lead this iconic Puerto Rican institution. For over 130 years, Popular has consistently demonstrated a deep commitment to Puerto Rico, its institutional values and putting our customers at the heart of everything we do. I joined Popular almost 11 years ago. I knew that if I wanted to make a meaningful contribution, this was the place to be. This idea, simple and yet powerful, continues to inspire me. Before I discuss the highlights for the second quarter, I am pleased to report that we recently announced 2 capital actions, a new incremental common stock repurchase program of up to $500 million and a 7% increase in our quarterly common stock dividend to $0.75 per share. These actions evidence the strength of our capital position, which allows us to continue to invest in our franchise and serve the needs of our customers while also returning capital to our shareholders. On Slide 3, we share a few highlights from the period that reflect our strong operating performance in the second quarter. We reported net income of $210 million, an EPS of $3.09 per share, an increase of $32 million and $0.53 per share, respectively, compared to the first quarter. Importantly, the improvement in our bottom line resulted in a very strong 13.3% return on tangible common equity. Our results were driven by higher net interest income and expanding net interest margin and strong loan and deposit growth. We maintained our credit discipline and credit quality continued to improve. I would like to commend the lending teams at Popular, which grew loans by more than $900 million during the quarter. As a notable example, we served as agent bank for a $425 million loan to the private sector entity that operates and maintains several toll roads in Puerto Rico. This transaction is one of the largest infrastructure financings in Puerto Rico executed entirely by local financial institutions. Please turn to Slide 4. As of the end of the second quarter, business activity in Puerto Rico continued to be solid as reflected by favorable trends in total employment, consumer spending and other key economic data. The unemployment rate of 5.5% continues to hover around all-time lows. Consumer spending has been resilient and remains healthy. Combined credit and debit card sales for Banco Popular customers increased by approximately 4% compared to the second quarter of 2024. Home purchase activity continues to be strong as demonstrated by the $158 million increase in mortgage balances at Banco Popular during the quarter. While demand for new cars slowed somewhat after a very strong first quarter, we saw our auto loan and lease balances increased by $76 million during the period. The tourism and hospitality sector continues to be a source of strength for the local economy. This summer, the sector is benefiting from an added tailwind during what is usually a seasonally slow period due to Benito Martinez Ocasio, also known as Bad Bunny's 30-night concert residency at the Coliseo in San Juan, right next to our Popular center complex. Conservative estimates indicate that it will lead to approximately $200 million in additional local economic activity. It is also generating significant media exposure for the island, adding to its strong image as a compelling destination for travelers. The Popular brand is very well represented in the residences. Additionally, some colleagues and I recently had an opportunity to attend the rebranding of an emblematic hotel property in San Juan and tour one of the island's new luxury hotel and residential community developments being built on the East Coast. It's encouraging to see the scale of private investments being made on the island. And last, but certainly not least, we continue to expect that the ongoing disbursement of Federal Disaster Recovery Fund will support economic activity for several years to come. Given what we see every day, I am convinced there are opportunities for growth in Puerto Rico and that we are uniquely positioned to leverage them. We do not take our market position for granted. We compete for it every day and are strongly committed to promoting the island's progress as we have done for over 130 years. Before turning it over to Jorge, I would like to briefly comment on the status of our transformation. These efforts are designed to enhance our customers' lives through more personalized and seamless experiences, increase employee performance and satisfaction with more agile work processes, modernize the company's technology to enable greater innovation and security and generate sustainable and profitable growth for our shareholders. A company-wide multiyear program such as this one requires commitment, focus and patience. We are pleased with the substantial progress we have made so far. We have modernized branches to enhance customer experience and operational efficiency, reduce loan processing times for small and midsized commercial customers at Banco Popular and launched a new digital platform to improve our commercial cash management services. These are only a small sample of the many efforts completed and in process that will ensure we are the #1 bank for our customers. I am confident that we can improve how we work by becoming simpler, more productive and more efficient. We will continue to leverage our position to seize additional opportunities for growth in Puerto Rico. I am convinced there are many to drive increased profitability and continue enhancing our performance in the coming years. It's only been a couple of weeks since I officially began in this role, but I'm excited to show everyone what we can achieve together with even greater strategic focus and agility. I will now turn the call over to Jorge for more details on our financial results.
Jorge Jose García: Thank you, Javier. Good morning, and thank you all for joining the call today. As Javier mentioned, our quarterly net income increased by $32 million to $210 million, and our EPS improved by 21% to $3.09 per share. These results were driven by better NII and noninterest income and a lower provision for credit losses, offset somewhat by higher operating expenses. There are numerous positives to highlight this quarter. The most significant for us is that the improvement in net income, coupled with our repurchase activity, which resulted in a 13.3% ROTCE for the period, an increase of 190 basis points from last quarter. As we have mentioned before, our objective is to deliver sustainable financial results. Our prior guidance of achieving at least a 12% ROTCE in Q4 of this year still stands. Additionally, given this quarter's results and credit outlook, we are increasingly confident we should exceed a 12% ROTCE for the full year, and not just in Q4. Longer term, we remain focused on achieving a sustainable 14% return on tangible common equity. Please turn to Slide 6. Our net interest income of $632 million increased by $26 million and was driven by balance sheet growth, asset repricing in our investment portfolio and lower deposit costs in both of our banks. Our net interest margin expanded by 9 basis points on a GAAP basis and 12 basis points on a tax equivalent basis, driven by lower deposit costs and a larger balance of loans and tax- exempt investment securities. After a slow Q1, loan growth of $931 million in the quarter was very strong, with both banks contributing to the increase. At BPPR, we saw loan growth of $681 million, reflected across all portfolios, but driven primarily by commercial and construction lending. This includes the $265 million that we retained from the toll roads financing that Javier described earlier. At PB, we saw loan growth of $251 million, driven by commercial and construction lending. Last quarter, we guided to the lower end of the 3% to 5% loan growth range due to expected payoffs in our construction portfolio and the uncertainty in the economic environment. However, given the loan growth realized in Q2 and continued demand in Puerto Rico and in our niche lending businesses in the U.S., we reiterate our original 3% to 5% guidance. In our investment portfolio, we continued to reinvest proceeds from maturities into treasuries, targeting a yield of at least 4%, while trying to manage the duration of the portfolio. During the quarter, we purchased approximately $2.4 billion of treasuries at an average yield of around 4%. The duration of these was closer to 1.5 years, as we felt the yields on that part of the curve were more attractive, particularly when considering the extension we achieved through our loan growth. We expect to continue to invest in treasuries to lessen our NII sensitivity to lower rates while maintaining an overall duration of 2 to 3 years in the investment portfolio. Ending deposit balances increased by $1.4 billion, while average balances grew by $499 million. Puerto Rico Public deposits ended the quarter at $20.9 billion, an increase of approximately $1.3 billion compared to Q1. We continue to expect public deposits to be in the range of $18 billion to $20 billion. At BPPR, excluding Puerto Rico Public deposits, ending deposit balances decreased by approximately $60 million end-to-end, and an average deposits grew by approximately $440 million, with noninterest-bearing deposits accounting for $93 million of that increase. At PB, ending deposit balances increased by approximately $150 million, net of intercompany deposits. Total deposit costs decreased by 5 basis points. At BPPR, deposit cost decreased by 3 basis points to 1.52%, mostly due to a 10 basis point reduction in the cost of market-linked public deposits. At Popular Bank, deposit cost decreased by 14 basis points as we continued our efforts to reduce the cost of our U.S. deposits. We're very happy with the efforts of our teams and their focus on deposit retention and growth strategies. However, we continue to expect third quarter deposit balances in BPPR to reflect historical seasonality and decrease as our retail plan base spends Q1 and Q2 tax refunds. That said, given the results in the first half of the year, along with the anticipated NIM expansion for the rest of the year from repricing of our fixed rate earning assets and deposit retention strategies, we now expect to see higher NII growth of 10% to 11% in 2025. Please turn to Slide 7. Noninterest income was $168 million, an increase of $16 million compared to Q1 and above the high end of our 2025 quarterly guidance. There were two primary drivers of the delta versus our expectations: better fees related to customer transaction activity as a result of higher credit and debit card spending and higher other operating income, which was mostly due to a $3 million increase in income from equity method investments and an approximately $3 million related to a reimbursement from the IRS. Based on the quarter's results, we now expect quarterly noninterest income for 2025 to be at the high end of the $155 million to $160 million range. Please turn to Slide 8. Total operating expenses were $493 million, an increase of $22 million when compared to last quarter. The largest expense variance in the quarter was the $17 million increase in personnel costs. We've had a very good first half of 2025. As can recently be assumed by our improved outlook for NII and credit, our internal net income forecast for the full year are now outpacing the original 2025 budget expectations by a significant enough margin to prompt us to begin to accrue profit sharing expense. During the quarter, we accrued $13 million for profit sharing in addition to other performance-related incentives. If we continue to outperform for the remainder of the year, the total profit sharing expense will be capped at approximately $40 million, or approximately 2% of our expense base. Being in a position to share profits with all of Popular's full-time employees is a terrific outcome and allows our teams to benefit from the acceleration and the improvement of our profitability. This expense was not included in our original 4% expense growth guidance at the beginning of the year. However, we're working to mitigate the impact of these costs on our total expenses for the year with sustainable efficiency efforts. We now expect the increase in 2025 expenses, including profit sharing, to be between 4% and 5% when compared to last year. In other words, excluding profit sharing, we should see expense growth below our original 4% expectation. Please turn to Slide 9. Regulatory capital levels remain strong. Our CET ratio of 15.91% decreased by 20 basis points from Q1, mainly due to loan growth during the quarter and the effects of capital actions net of quarterly net income. Tangible book value per share at the end of the quarter was $75.41, an increase of $3.39 per share from Q1, driven by our net income and lower unrealized losses in our MBS portfolio, offset in part by our capital return activity in the quarter. During the second quarter, we repurchased approximately $112 million in shares at an average price of $99 per share. As of July 15, we had $33 million remaining on the share repurchase authorization announced in July of 2024, in addition to the incremental $500 million announced last week. With that, I turn the call over to Lidio.
Lidio V. Soriano: Thank you, Jorge, and good morning. Credit quality metrics improved during the second quarter with lower NPLs, lower inflows and lower net charge-offs. Our mortgage and commercial loan portfolios continue to drive the results, with credit metrics significantly below pre-pandemic levels, coupled with improved performance from our consumer portfolio. Over the years, we have managed credit under different macroeconomic and operating environments. And more recently, we have taken several credit tightening actions to reduce our exposure to riskier segments. We continue to carefully monitor the performance of our book and response to the environment accordingly. However, we are confident that the improvement in the risk profile of our loan portfolios positions Popular to operate successfully on the more difficult economic conditions. Turning to Slide #10. Nonperforming assets and loans decreased slightly during the quarter, driven by Banco Popular. NPLs in Banco Popular decreased by $4 million, reflected across all loan segments. NPLs in Popular Bank increased by $2 million, driven by a $3 million commercial NPL inflow during the quarter. OREOs decreased by $6 million, driven by sales of residential real estate properties in Puerto Rico. Inflows of NPLs decreased by $4 million quarter-over-quarter. In Banco Popular, inflows decreased by $5 million, driven by the commercial portfolio. In Popular Bank, NPL inflows remained flat. The ratio of NPLs to total loans held in portfolio decreased 2 basis points to 82 basis points. Turning to Slide 11. Net charge-offs amounted to $42 million or annualized, 45 basis points, compared to $49 million or 53 basis points in the prior quarter. Net charge-offs in Banco Popular decreased by $7 million, driven by lower auto loans and personal loans, offset in part by a commercial loan recovery recognized in the first quarter. In Popular Bank, net charge-offs remained flat. Given our credit performance during the first half of the year and our outlook for the second half, we now expect net charge-offs to be between 45 to 65 basis points for the full year, below our original guidance of between 70 to 90 basis points. The allowance for credit losses increased by $7 million to $770 million, driven by higher reserves from portfolio growth and less favorable economic assumptions, offset in part by revised probability weights and changes in credit quality. We leverage multiple scenarios to estimate our ACL. In the second quarter, which slightly reduced the pessimistic weight, resulting in a $4 million decrease in the ACL. In Banco Popular, the ACL increased by $3 million, driven by auto loans due to changes in credit quality and changes in the economic scenarios, offset in part by improvements in the credit quality of our commercial portfolios and changes in probability weights. In Popular Bank, the ACL increased by $4 million, driven by the changes in economic forecast and higher qualitative reserves for the CRE portfolio. The corporation ratio of the ACL to loans held in portfolio was 202 basis points compared to 205 basis points in the prior quarter, while the ratio of the ACL to NPL was 247% compared to 243% in the prior quarter. The provision for credit losses was $50 million compared to $65 million in the prior quarter. In BPPR, the provision was $10 million lower, while in Popular, the provision was $7 million lower. The combined provision to net charge-off ratio for the quarter was 117%. To summarize, credit quality metrics improved during the second quarter. We are attentive to the evolving environment, but are confident that the improvement in the risk profile of our loan portfolios will allow us to operate successfully under different economic conditions. With that, I would like to turn the call over to Javier for his concluding remarks.
Javier D. Ferrer-Fernández: Thank you, Lidio and Jorge, for your update. I am extremely pleased with our financial performance in the second quarter. We increased net interest income, grew loans and deposits and maintained strong credit metrics. We have had a strong first half of the year. We will continue to execute on our objectives, and I am urging our teams to remain focused on deposit retention, loan generation and particularly on our expense discipline. We are committed to generating value for our shareholders and to achieving our ROTCE objectives. We will continue to execute our transformation program, determined to be the #1 bank for our customers and to simplify our operations to improve efficiency and drive sustained performance. We're also focused on reinvesting in the communities we serve and believe we are making a meaningful difference. These efforts are highlighted in our Corporate Sustainability Report, which we published in June. I want to give a shout out to our colleagues and recognize their hard work. I see what they do every day in our branches, call centers and centralized offices. We are pushing ourselves to deliver more for our clients every day, and I am incredibly grateful for their commitment. We are now ready to answer your questions.
Operator: [Operator Instructions] First question comes from Gerard Cassidy with RBC.
Forrest Hamilton: This is actually Forrest Hamilton in Gerard's place for today. Nice quarter, and just one quick question. There's been a lot of recent highlights and headlines on stablecoins. And I was just curious how you guys see stablecoins potentially impacting Popular's business and deposits and kind of the medium- to long-term outlook?
Javier D. Ferrer-Fernández: Well, thank you for that question. I just want to say that we're looking at it, given that the GENIUS Act was approved. We put together a team to do deeper dives and start to think about potential use cases. So that's where we are. We did it -- we realized that it's coming and it will have an impact in the industry. It's early innings, but we have started moving on the opportunity.
Operator: We now turn to Timur Braziler with Wells Fargo.
Timur Felixovich Braziler: Looking at the level of current accruals for the profit sharing, I'm just wondering what the interplay is between the $13 million that's accrual today versus the max of $40 million and the revenue guide that's out there. Does the revenue guide imply that current accrual is the right number, and you need to top that in order to get closer to the $40 million? Or as we get closer to hitting that new guide, that accrual should continue inching higher?
Jorge Jose García: So first, I'll remind you, Timur, the way the profit sharing works is that we have to beat our budget by -- of net income by at least 3%. And if that number increases and the payoff gets greater, it's capped off up to 8% of our employees' salary up to a maximum total compensation of $70,000. That's where the 8% applies to. So if you make more than $70,000, you don't keep accruing. And this is a great opportunity for us to share in with our employee base when we really exceed plan, when everybody executes and exceed plan. We feel that our interests are aligned between shareholders and our employees. Having said that, the guide that we have provided, which includes increasing net interest income as well as increasing expenses, the expense rates that we have, we are certainly expecting to accrue the max of property sharing, and that's embedded in our guidance. So we don't take lightly Javier's comments of making sure our teams continue to be focused on executing.
Timur Felixovich Braziler: Okay. Great. I appreciate that color. And then maybe a 2-part question on deposits. I think I heard [Audio Gap] commercial deposit competition was maybe picking up on the island, driving some of the higher costs there. And then I appreciate the comments on typical seasonality in 3Q. I'm just wondering if you can frame how that seasonality looks in 2025 versus what we saw last year?
Jorge Jose García: In terms of competition, Javier likes to say we compete every day for our customers, for our business. We do it on service and sometimes some price as well, right? And I would say that on the commercial side, we don't see as much yield-seeking behavior or pushback. I think a lot of that has been embedded in our baseline. On the retail clients, there are still many discussions and still some yield-seeking behavior. We continue to see outflows of roughly $100 million a month into our Popular Security subsidiary. So there's still some yield seeking behavior and from our retail clients. The one thing that is different than last year for your question is that our teams are much more focused on deposit gathering and deposit retention strategies in our branches. As you know, we adjusted our compensation plans, we adjusted targets to really make sure that we were incentivizing the deposit retention behavior. When we look back pre-pandemic, where you don't have all the noise that we saw during the pandemic, it is clear that there's a trend where our client base gets more inflows in the first half of the year. They tend to spend some of that in the third quarter and then you see stability and maybe an uptick in the fourth quarter. We expect those trends to continue. But I would also say, when we look at the inflows of our clients, particularly in the first half of the year, our clients have received more tax refunds than they did last year. And even though last year, we had the special onetime rebate from the Puerto Rico government, inflows outside of the tax proceeds are about 6% higher. So people are earning more. So it really does go to demonstrate the strength of the consumer in Puerto Rico. So we are confident in our teams, but there is a seasonality. We have over 1 million retail clients. It is very difficult to understand their -- predict their spending behavior. But that all is accounted in our NII guide, Timur.
Operator: Our next question comes from Kelly Motta with KBW.
Kelly Ann Motta: I thought maybe kicking it off to the loan side of things. You had a really strong quarter, and you highlighted the larger infrastructure project. I believe the guidance bakes in some planned runoff in the U.S. Can you give us a bit more color as to what that is, one? And two, the activity in Puerto Rico, I feel like the second half of the year usually is better for you. So I'm wondering if you could help provide additional color on both parts of the business.
Jorge Jose García: Thanks, Kelly. So we do see strong pipelines, particularly into the third quarter in both Puerto Rico and the U.S. It also -- so like what we're seeing, still continue to see large transactions that make a difference in those [ jumps from ] point-to-point. In the U.S., we continue to expect that we will see some payoff in the construction portfolio. The speed at which that portfolio has been growing and the pipeline behind it, we expect that eventually is going to come down. As you know, those construction loans end up -- they're mostly multifamily projects. And we don't always succeed in retaining the takeout, the term loans after the construction project is completed. So we do expect that decrease to happen more likely in the fourth quarter than in the third quarter.
Kelly Ann Motta: Got it. That's helpful. And on the funding side, it looks like most of the deposit growth was on the government side, and you took out some borrowings to bridge the gap. Wondering, especially with the deposit seasonality as you look ahead, the expected cash flows cover the loan growth you're expecting? Or would you anticipate necessitating some more borrowings here to fund your growth outlook?
Jorge Jose García: Right. So a couple of things. I mean, let me -- I just want to clarify a couple of things. We did see end-to-end growth, that was mostly the public funds. But on an average basis, the public funds were -- I think they grew maybe $50 million, $60 million. Really, the nonpublic deposits grew almost $500 million on an average basis in the quarter, including about $150 million in noninterest-bearing accounts, about $100 million of that in Puerto Rico, $50 million in the U.S. So the deposit franchise was strong. We did do some borrowings in the U.S. Short term Federal Home Loan Bank borrowings that we do at any time as part of our liquidity. We have over $25 billion in off-balance sheet and on balance sheet liquidity in both banks combined. And so it's more about being able to fund. As you know, in the U.S., the alternative area of growth for us has been direct deposits on the Internet online channel. We'll continue to use that. If we have flexibility to fund quicker or at a better price on a short-term basis than Federal Home Loan Bank, we will do that. In Puerto Rico, we did not have any change in our wholesale borrowing.
Kelly Ann Motta: Got it. Last quick question from me is on the expense side. You rightly pointed out that with the profit sharing expense, your operating expenses are actually lower than what you had previously expected. Wondering if you could offer what's driving that? Are you pushing out some of the transformational expenses next year or realizing greater efficiencies with what you've done so far?
Jorge Jose García: It really is all of the above. I mean, we are -- we do have -- as part of the transformation efforts, we do have work streams that are focused on efficiency. We are finding opportunities and sustainable efficiencies that are operational and technology expenditures, just managing data purge exercises, how we manage different operational accounts with more precision and urging our teams for a commitment of excellence and not being -- just being on top of their responsibility and making sure that we have that discipline. We are incentivizing people on expense control, and that usually warrants people to start paying attention and focus on that. On the transformation, there are projects that get delayed and that impacts our total expense base. Some of it is delayed because of things that we do. Other things are delayed because of bigger picture things like there's a recent conversion in Fed wires that impacted the entire banking sector and that got delayed about a quarter. So you see some of that in our expense delays. So it really is a combination of a lot of different things. But our teams are focused, and we want to make sure that we get to pay out on that profit sharing and also mitigate the total expense base for Popular.
Operator: [Operator Instructions] We now turn to Jared Shaw with Barclays. Your line is open. Please go ahead.
Jared David Wesley Shaw: Maybe on the loan growth, you highlighted the large deal that you led. Are you now at the point where you're starting to see the federal stimulus money or federal investments really start to get traction? Should we start to expect more of these larger deals? And I guess what's your comfort with sort of the upper end of hold size on those?
Javier D. Ferrer-Fernández: Well, we are seeing -- talking to the government agencies that are handling the federal funds and also to our customers. We are seeing deployment of those funds in Puerto Rico. We expect to have more projects announced in the next few weeks to months. I don't think that we're going to be seeing in the next few weeks anything on public partnership activity. That doesn't mean that there won't be more. But I want -- I wouldn't want to mislead you to tell you there's a pipeline on public partnership transactions or financings of that nature. There are certain things that are being discussed in Puerto Rico. And definitely, we are the go-to bank locally when the government and third parties want to come in and participate in P3 projects. So again, I don't think that I can share at this moment things that are being discussed, but we're committed to financing and participating in those deals. So I mean -- and I want to say also, I think the government is very much focused on economic development, permitting agility. And given their good relationships with the Trump administration, what we hear and see is encouraging.
Jared David Wesley Shaw: Okay. All right. Maybe shifting just to the fee income guide, should we assume basically sort of steady trends from here, excluding maybe in the equity investment adjustment and the refund, that $6 million and other? Or is there any other areas that are seeing outsized opportunity?
Jorge Jose García: I mean, there are cyclical cycles -- I'm sorry, for the double there. But if you look historically, second quarter and fourth quarter tend to be higher. You have more transactional activity in the second and fourth quarter, some insurance fees that happen that come in, in the second and fourth quarter as well. Certainly, we highlighted the IRS refund. That's not something that we would -- that's something unusual. But the equity pickup, there was nothing unusual about that. It just had a slower first quarter and picked up in the second quarter. So we feel good about the updated guidance for the year and just -- you can do the math, it just signifies top end of the guidance for the second half of the year as well.
Jared David Wesley Shaw: Okay. Okay. And then just finally on the capital and the buybacks, a good level of buybacks this quarter. Is this sort of a pace you feel comfortable with, given the broader capital backdrop and growth outlook?
Jorge Jose García: I think it's a reasonable pace, and we still feel that our share price is very attractive at these levels.
Operator: This concludes our Q&A. I'll now hand back to Javier Ferrer, CEO, for any final remarks.
Javier D. Ferrer-Fernández: Well, thanks again for joining us and for your questions. We look forward to updating you on our third quarter results in October. Thank you.
Operator: Ladies and gentlemen, today's call has now concluded. We'd like to thank you for your participation. You may now disconnect your lines.